Operator: Hello, and welcome to the Equifax Second Quarter 2021 Earnings Conference Call and Webcast. At this time, all participants will be in listen-only mode. [Operator Instructions] A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to Dorian Hare, Senior Vice President, Head of Corporate Investor Relations. Please go ahead.
Dorian Hare: Thanks, and good morning. Welcome to today’s conference call. I am Dorian Hare. With me today are Mark Begor, Chief Executive Officer; and John Gamble, Chief Financial Officer.  Today’s call is being recorded. An archive of the recording will be available later today on the IR Calendar section of the News & Events tab at our IR our website www.investor.equifax.com. During the call today, we will be making references to certain materials that can also be found in the presentation section of the News &Events tab at our IR website. These materials are labeled Q2 2021 Earnings Conference Call. During this call, we will be making certain forward-looking statements including third quarter and full year 2021 guidance to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties, and other factors that could cause actual results to differ materially from expectations. Certain risk factors that may impact our business are set forth in our filings with the SEC, including our 2020 Form 10-K and subsequent filings. Also, we will be referring to certain non-GAAP financial measures including adjusted EPS attributable to Equifax and adjusted EBITDA, which will be adjusted for certain items that affect the comparability of our underlying operational performance. These non-GAAP measures are detailed in reconciliation tables, which are included with our earnings release and are also posted on our website. Now, I'd like to turn it over to Mark.
Mark Begor: Thanks, Dorian, and good morning. Before I address Equifax's strong second quarter results, I want to recognize our 11,000 associates around the globe for their continued hard work and dedication in these challenging times. Our team members are our most important asset and they play a vital role in helping millions of consumers around the world to get access to credit.  On July 1, we opened all of our U.S. offices fully and rolled out our new Equifax flex program, a hybrid working environment that gives our team the opportunity to work from home one day per week. Our four one program recognizes our learnings from the past year around remote work during COVID, but maintains the core of our Equifax culture of collaboration and team work that is optimized by an in-person work environment.  We’ve also resumed in-person meetings with our customers and I’ve been energized with the conversations that have taken place so far. It’s great to be moving back to a new normal.  We had a very strong second quarter and first half, which built off our strong outperformance in 2020. Our team has executed extremely well against the critical priorities of our new Equifax 2023 strategy, which is shown on Slide 4.  We are accelerating new product introductions, beginning to leverage our expanding Equifax cloud capabilities, and our highly differentiated data assets. We continue to expand our differentiated data assets both organically and through acquisition and partnerships. While still in the early days, our new Equifax cloud data and technology capabilities are providing competitive advantages and capabilities that only Equifax can provide.  And our Customer First initiatives are deepening our relationships with customers and delivering new products and solutions along with above market Equifax growth. And as always we remain focused on extending our leadership in security. Our EFX2023 growth strategy is our compass for the future and drives all of our growth initiatives as we move through the second half and into 2022 and beyond. We expect this focus to drive our top-line and bottom-line in the future.  Turning now to Slide 5. Equifax’s financial performance in the second quarter was very strong and outperformed our underlying markets. Revenue of $1.235 billion was the highest quarterly revenue in our history breaking the record from last quarter. Local currency revenue growth of 23% and organic local currency growth of 20% were both very strong in some of the highest growth rates in our history.  Our U.S. B2B businesses and Workforce Solutions and USIS which together represent over 70% of our revenue, again drove our overall growth delivering very strong 25% total and 22% organic revenue growth despite the headwinds from the mortgage market that declined about 5%. The 5% decline in the mortgage market was about 500 basis points more than our flat expectation we shared with you in April.  U.S. B2B organic non-mortgage growth of 20% accelerated sequentially from the 16% we delivered in the first quarter. The 20% organic growth is also a record and reflects the underlying strength of Workforce Solutions and USIS’s return to a competitive position.  I’ll cover the BU performance – level of performance in detail in a moment, but at a high level, Workforce Solutions again led Equifax growth with revenue up a strong 40%. And as a reminder, this is of growth of 53% in second quarter last year and the mortgage that declined 5% in the quarter. USIS delivered another strong quarter with revenue up 11%, driven by non-mortgage total revenue growth of over 20% and strong organic revenue growth of 14%.  International delivered a very strong quarter of COVID recovery with revenue growth of 25% in local currency and importantly, all regions internationally delivered growth above 20%. Slightly better than expected GCS revenue was down 3% in local currency. However, our Consumer Direct revenue delivered 11% growth in the quarter, its second consecutive quarter in double-digits.  Second quarter Equifax adjusted EBITDA totaled $431 million, up 20% with margins of 34.9%. Margins were down 160 basis points versus last year due to the inclusion of the cloud technology transformation cost in our adjusted results in 2021, which were excluded last year. This negatively impacted second quarter adjusted EBITDA margin by 310 basis points.  Adjusting for cloud transformation cost of $38 million in the quarter, our margins would have been up a strong 150 basis points. We are getting strong leverage out of our above-market revenue growth.  Adjusted EPS of $1.98 per share was up a strong 21% from last year. Again adjusting for the cloud transformation cost, adjusted EPS would have been up a very strong 36% reflecting the strong performance in operating leverage of Equifax.  During the quarter, we continue to make significant progress with the Equifax Cloud Data and Technology transformation including an additional 7,700 customer migrations to the cloud in the United States and more than 900 migrations internationally. We remain on track with our cloud transformation and are confident in our plan.  We continue to expect that North American transformation to be principally complete in early 2022 with the remaining customer migrations completed by the end of next year. International transformation will follow North America being principally completed by the end of 2023. And as you know, last year we started to ramp up our focus in resources on new products leveraging the new Equifax Cloud Data and Capabilities.  In the second quarter, we released 46 new products, which is up almost 2x from the 24 products we released a year ago in the quarter. These new products are increasingly leveraging the new Equifax cloud to deliver better data decisioning for our customers.  Driving NPIs, leveraging the new Equifax cloud is central to our EFX2023 growth strategy and we continue to expect our vitality index defined as revenue from new products introduced in the last three years to exceed 8%, a big step up from the 5% last year and a reflection of the strong product focus across EFX.  Our first half performance exceeded our expectations and we are clearly seeing continued strong momentum as we move into the second half. Based on our strong first half results and confidence in the future, we increased our full year revenue guidance by $165 million to a midpoint of $4.78 billion, which is up 400 basis points which is 16% growth.  We also increased our full year adjusted EPS guidance by $0.45 per share to a midpoint of $7.35 per share, which adjusting for the technology transformation cost is up 700 basis points to 19% growth. This includes our expectation if the U.S. mortgage market is measured by credit enquiries will decline approximately 8% in the year, which is consistent with the guidance we provided in April.  In the second quarter, Equifax core revenue growth, the green section of the bars on Slide 6 accelerated to 29%. This is up significantly from the 20% core revenue contribution we delivered in the first quarter and 11% in the fourth quarter and well above our historical core growth rates.  While our outperformance in the mortgage market continues to drive significant core growth, the contribution from U.S. non-mortgage and international increased significantly in the quarter reflecting approximately 50% of core revenue growth in the quarter, excluding acquisitions and FX favorability.  Turning now to Slide 7, our strong second quarter results were broad based and reflect better than expected performance for all four Equifax business units. Workforce Solutions, our largest business had another exceptional quarter delivering 40% revenue growth and 58% adjusted EBITDA margins. Again as a reminder, the 40% revenue growth is on top of 53% growth last year in the second quarter.  EWS is cementing itself as our largest and most valuable business and it’s powering our results representing 40% of total Equifax revenue in the quarter. EWS Verification Services revenue of $395 million was up a strong 57%. Verification Services’ mortgage revenue grew 52% in the quarter, despite the 5% decline in the mortgage market from increased records, penetration and new products.  Importantly, Verification Services’ non-mortgage revenue was up over 60% in the quarter and up over 15% sequentially from the first quarter. Our government vertical which provides solutions to federal and state governments in support of assistance programs including food and rental support grew over 10% in the quarter. Government remains one of our largest non-mortgage segments representing about a third of non-mortgage verification revenue.  We continue to expand our products and solutions in the government vertical and expect our new social security administration contract to go live this quarter with revenue ramping to a $40 million to $50 million runrate in 2022.  Talent Solutions, which comprise income and employment verifications, as well as other information for the hiring and onboarding process through our EWS Data Hub had another outstanding quarter from customer expansion and MGIs growing over 200%. Talent Solutions now represents almost 30% of non-mortgage verification revenue.  Building out the EWS Data Hub that leverages the work history in our TWN database with other unique data elements used in the hiring process is a priority for us. Over 75 million people change jobs in the U.S. annually with the vast majority having some level of screening as a part of that hiring process.  Our non-mortgage consumer business principally in banking and auto showed strong growth of about 50% in the quarter as well, both from deepening penetration with lenders and some recovery in these markets. Debt Management also returned to growth in the quarter.  Employer Services revenue of $101 million was about flat in the quarter as expected. Combined, our unemployment claims and employee retention credit businesses had revenue of about $64 million, down over 15% from last year.  Substantial declines in UC revenue in the second quarter were partially offset by new ERC revenue that began in the quarter as we support businesses in obtaining federal employee retention credit payments. Employer Services non-UC and ERC businesses had revenue up over 50% in the quarter. Our I-9 business driven by our new I-9 Anywhere product continue to show very strong growth, up over 50%. Our I-9 business is now almost half of Employer Services non-UC and ERC revenue. Reflecting on the growth in I-9 and the return to growth of Workforce Analytics, we expect Employer Services non-UC and ERC businesses to deliver organic growth of over 20% for the year.  Reflecting the power and uniqueness of the TWN dataset, strong verifier revenue growth and operating leverage resulted in adjusted EWS EBITDA margins of 68%, a 160 basis point expansion from last year. Excluding technology transformation expenses, EWS margins would have been up over 240 basis points.  Rudy Ploder and EWS team delivered another outstanding quarter and are position to deliver a very strong 2021. Workforce Solutions is our most powerful and unique business and is calling Equifax results would grow substantially above the rest of the company.  Turning now to USIS, they had another strong quarter with revenue up 11% driven by strong performance across the business. Total USIS mortgage revenue of $160 million was down about 2% in the quarter, while mortgage enquiries were down 5%, below the flat expectation we shared at April.  John will cover our updated view of the mortgage markets shortly. USIS mortgage revenue outgrew the market by over 300 basis points driven by growth in marketing and debt monitoring products.  Importantly, non-mortgage revenue performance was up 21% with strong organic growth of 14%. This performance reflects the commercial focus of Sid Singh and his team and their competitive position in the marketplace. Importantly, organic non-mortgage revenue also delivered strong sequential growth acceleration of 250 basis points from the first quarter's 11%, an important indicator of the continued strengthening of the USIS business. Banking and Insurance, both grew over 20% in the quarter. Auto and Direct-to-Consumer were both up over 10% and Telco and Commercial were just about flat in the quarter. Financial Marketing Services revenue, which is broadly speaking, our offline or batch business was $59 million in the quarter and up about 14%.  The strong performance was driven by marketing-related revenue, which is up over 20% and ID and fraud revenue growth of over 15%, as consumer marketing and originations ramped up coming out of COVID. In 2021, marketing-related revenue is expected to represent about 40% of FMS revenue, identity and fraud above 20% and risk decisioning about 35%. This strong growth across our non-mortgage business is encouraging as we move into the third quarter and the rest of 2021. The USIS new deal pipeline remains very strong and comparable to the strong levels we've seen so far in 2021. We have seen the highest growth in auto, financial services and mortgage.  USIS adjusted EBITDA margins were 40.3% in the quarter, the decline of 380 basis points from second quarter last year was principally due to the cost related with cloud transformation, both the cost of redundant systems and the inclusion in our adjusted results of the technology transformation cost, which were being excluded in 2020. Sales and marketing expenses also increased in the quarter and sequentially to leverage both the stronger U.S. markets and increased NPI rollouts to drive growth. Shifting now to international, the revenue was up a strong 25% on a local currency basis, which is a third consecutive quarter of growth in our global markets. Revenue growth was up over 20% in all of our markets in Canada, Asia-Pacific, Latin America and Europe.  Asia-Pacific, which is principally our Australia business, had a very strong quarter with revenue up $91 million or up about 21% in local currencies. Australia consumer revenue turned positive and was up 23% versus last year and up about 2% sequentially. Our commercial business combined online and offline revenue was up a very strong 26% in the quarter and almost 18% - up almost 18% sequentially. Fraud and Identity was up 30% in the quarter following 15% growth in the first quarter.  European revenues of $68 million were up 27% in local currency in the quarter. Our European Credit Reporting business is up about 20% with strong growth in both the UK and Spain. In UK, which is our largest European market, we saw growth of over 25% in Consumer, Data Analytics and scores and over 40% growth in commercial.  Our European debt management business revenue increased about 30% in local currency, off the lows we saw in the second quarter last year during the COVID recession.  Canada delivered record-setting revenue of $47 million in the quarter, up about 26% in local currency. Consumer online was up about 26% in the quarter, an improvement of 12 percentage points from the first quarter. Double-digit growth in commercial, analytical and decision solutions and ID and Fraud also drove growth in the Canadian revenue in the quarter.  Latin American revenues of $44 million grew 30% in the quarter in local currency, which was the second consecutive quarter of growth coming out of COVID. We continue to see the benefits in Latin America of the strong new product introductions the team has rolled out over the past three years.  International adjusted EBITDA margins of 27.3% were up 540 basis points from last year, driven by leverage on revenue growth and continued very good cost control by the international team. Excluding the impact of the inclusion of the technology transformation costs in adjusted EBITDA, margins were up over 750 basis points.  Global Consumer Solutions revenue was down 2% on a reported basis and 3% on a local currency basis in the quarter and slightly above our expectations. We again saw strong double-digit growth in our Global Consumer Direct business, which sells directly to consumers through equifax.com and which represents a little over half of GCS revenue. Direct-to-Consumer revenue was up a strong 11% in the quarter, their fourth consecutive quarter of growth.  The decline in overall GCS revenue in the second quarter was again driven by our U.S. lead generation partner business. We expect the GCS partner business and GCS business overall to return to growth in the fourth quarter. GCS adjusted EBITDA margins of 22.5% were up just about 170 basis points, which was better than our expectations. Turning now to Slide 8, Workforce Solutions continues to power Equifax and is clearly our strongest fastest growing and most valuable business. Workforce Solutions revenue grew a very strong 40% in the quarter with core revenue growth of 46%. And again, the 40% growth in the quarter was on top of 53% growth in the second quarter last year.  This above-market performance is driven by the uniqueness of the TWN income and employment data, the scale of the TWN database and the consistent execution by Rudy and his team. At the end of the second quarter, TWN reached 119 million active records, an increase of 13% or 14 million records from a year ago and included 91 million unique records. At 91 million uniques, we now have over 60% of non-farm payrolls, which makes our TWN dataset more valuable to our customers by delivering higher hit rates.  Beyond focusing on adding the over 50 million non-farm payroll records not in the TWN database yet, we're also focused on adding data records from the 40 million to 50 million Gig workers and around 30 million pension recipients in the United States marketplace to further broaden the TWN database. We have plenty of room to grow. We are now receiving contributions from 1.2 million companies across the U.S., up from 27,000 employers a short two plus years ago. And as a reminder, over 60% of our records are contributed directly by employers that EWS provides comprehensive employer services to like unemployment claims, W-2 management, I-9, WOTC, Employee Retention Credit, HSA and other HR and compliance-related solutions. These relationships have been built up over the past decade by the Workforce Solutions team. The remaining 35% are contributed through partnerships with payroll providers and HR software companies, most of which are exclusive. The exclusive arrangement with a major payroll processor that we announced on our February call is still on track to become active later this year. We have a dedicated team with an active pipeline of record additions to continue to expand our TWN database in the future. And as you know, as we add records to the dataset, they are monetized almost instantly with our customer system-to-system integrations interacting with our TWN database.  Workforce Solutions continues to grow, penetration in key existing markets while expanding into new markets. We continue to increase our penetration in the mortgage market. As of the most recent data available at the end of 2020, Workforce Solutions received an inquiry in almost 60% of completed U.S. mortgages, which is up from 55% in 2019. This 500 basis point increase shows a continuation of growth in TWN mortgage penetration, as well as the substantial opportunity for continued growth that exist in mortgage with only 60% of mortgages using TWN data today. We are also seeing substantial growth in TWN in the non-credit markets of Government and Talent Solutions as well as increased TWN usage within the card and auto verticals.  As we discussed in the past, growing system-to-system integrations is a key lever in driving both increased penetration and the increased number of polls per transaction for Workforce Solutions. During the quarter, about 75% of TWN mortgage transactions were fulfilled system-to-system, which was up 2x from the 32% in 2019.  The Workforce Solutions new product pipeline is also rapidly expanding as our teams leveraged the power of our new Equifax Cloud infrastructure. We plan to rollout new products in mortgage Talent Solutions, Government and I-9 in the second half of the year. New product revenue will increase in 2021 and 2022 as we begin to reap the benefits of our new products introduced in the market by Workforce Solutions in the past 18 months.  Rudy and the Workforce Solutions team had multiple levers for growth in 2021, 2022 and beyond. Workforce is clearly our largest and most valuable business and we will continue to power our results in the future. Workforce Solutions growth rates and margins are highly accretive to Equifax, now and in the future. Slide 9 provides perspective on the tremendous growth Workforce has delivered since 2017 and the increasing impact of the business it has on Equifax with its highly accretive revenue growth rates and margins. In 2017, Workforce Solutions revenue and EBITDA made up 23% of Equifax revenue and 27% of business unit EBITDA.  For the first half of 2021, Workforce Solutions revenue and EBITDA have increased to 40% of Equifax revenue and over half of Equifax business unit EBITDA. In a short four years, Workforce Solutions has more than doubled in size and is now almost 50% in the first half versus the same period last year. It is up almost 50% in the first half versus same period last year. Our unique TWN employment and income assets and the continued expansion of employment-related assets within the Equifax Data Hub provides opportunities for both ongoing outsized growth in Equifax traditional financial markets of mortgage, banking, auto, as well as a substantial growth in new verticals in Government, Talent Solution and others to come.  We expect that Workforce Solutions will continue to be an increasingly large part of Equifax and power our top and bottom-line with the above-market growth in margins. Turning to Slide 10, this provides a perspective on the return to growth USIS delivered since 2018. USIS has delivered strong double-digit revenue growth over the past six quarters. Although the strong mortgage market has advantaged USIS as shown in the bottom left of the slide, USIS has driven consistent sequential improvement in non-mortgage growth since second quarter last year with the overall growth in USIS being driven by 18% non-mortgage growth in the first half of 2021.  The USIS team is also increasingly leveraging the Equifax Cloud to design and implement new NPIs for customers. The Equifax Cloud new products and our unique data assets are making USIS teams more competitive in the marketplace. And the USIS team is focused on integrating Kount into new Equifax Cloud and we are seeing increased used cases in opportunities with our ID and Fraud vertical from the Kount acquisition.  We expect ID and Fraud to play a large role in USIS growth in 2021 and beyond. I encourage you to review the ID and Fraud slides in our broader Investor Presentation, which can be found on our Investor Relations website following this call. Turning to Slide 11. This highlights the core growth performance in our mortgage for our U.S. B2B businesses, Workforce Solutions and USIS. Our U.S. B2B businesses delivered a combined 25% revenue growth in mortgage in the second quarter, which was 30 points stronger than the 5% mortgage decline we saw in overall mortgage market.  The strong outperformance was again primarily driven by Workforce Solutions with core mortgage growth of 57%. Consistent with past quarters, EWS’ outperformance was driven by new records, increased market penetration, larger fulfillment rates and new products. Proof that lenders are increasingly becoming reliant on the unique TWN income and employment data when making credit decisions in the mortgage space. USIS delivered 4% core mortgage revenue growth in the second quarter, driven primarily by new debt monitoring solutions and further support from marketing. Our ability to substantially outgrow underlying markets is core to our business model and core to our future growth. I'll now turn the presentation over to John to discuss current trends in the mortgage market and to walk through our third quarter and revised full year 2021 guidance.
John Gamble : Thanks, Mark. As Mark discussed, our Q2 results were very much stronger than we discussed with you in April, with revenue about $85 million higher than the midpoint of the expectation we shared. For perspective, all we used performed well relative to the expectations we shared.  Performance in non-mortgage and our U.S. businesses, Workforce and USIS was very strong in absolute terms and relative to the expectations we shared. Our unemployment claims and employee retention credit businesses and Workforce Solutions declined in the quarter, but much less than expected.  International revenue performance was also very strong, again both in absolute terms and relative to our expectations. And although the mortgage market was down 5% versus our expectation of flat, our mortgage revenue principally in Workforce was not impacted to the same degree. This strong revenue drove the upside in adjusted EPS relative to the expectations we shared. Now, turning to mortgage, as shown on Slide 12, U.S. mortgage market credit increase declined 5% in 2Q 2021, weaker than the about flat we had included in our guidance. Our financial guidance for 2021 assumes that the trend in mortgage credit increase we saw in late June and July continues in 3Q 2021 resulting in a decline of mortgage market credit increase of about 23% in 3Q 2021 versus 3Q 2020.  Although our second half 2021 market credit inquiry assumptions are down significantly from the second half of 2020, they remain above the average as we saw prior to 2020. As shown in the left-side of Slide 13, mortgage market indicators remain above the peak seen in previous mortgage cycles.  Despite the substantial refinance activity that has occurred over the past year, the number of U.S. mortgages that could benefit from a refinancing remains at a relatively strong level of about $12 million. Refinance activity continues to benefit from low and recently declining mortgage rates and a substantial appreciation in home prices over the past year. Based upon our most recent data from January, mortgage refinancings continue to run just under $1 million per month. As shown on the right side of Slide 13, the pace of existing home purchases continues at historically very high levels. The strong new purchase market is expected to continue throughout 2021 and into 2022.  Slide 14 provides our guidance for 3Q 2021. We expect revenue in the range of $1.160 billion to $1.180 billion, reflecting revenue growth of about 9% to 11%, including a 1% benefit from FX. Acquisitions are positively impacting revenue by 1.8%. We're expecting adjusted EPS in 3Q 2021 to be $1.62 to $1.72 per share compared to 3Q 2020 adjusted EPS of $1.91 per share. In 3Q 2021, technology transformation costs are expected to be around $40 million or $0.25 a share.  Excluding these costs, which were excluded from 3Q 2020 adjusted EPS, 3Q 2021 adjusted EPS would be $1.87 to $1.97 per share. This performance is being delivered in the context of the U.S. mortgage market, which is expected to be down 23% versus 3Q 2020. Comparing the midpoint of our 3Q 2021guidance sequentially to our very strong 2Q 2021performance, revenue is down about $65 million. The drivers of this decline are two main factors. The largest factor is a decline in mortgage revenue, driven by the impact of the expectation we shared regarding the decline in the U.S. mortgage market.  The other significant factor is our expectation that we'll see a significant sequential decline in unemployment claims revenue. Our guidance for adjusted EPS declines about $0.30 per share sequentially. The bulk of this decline is driven by lower gross profit on the revenue expectation I just discussed. In addition, we are increasing investment sequentially in sales and marketing, particularly in the U.S. as well as increasing investment in products and technology.  Slide 15 provides the specifics on our 2021 full year guidance. We are increasing guidance substantially, reflecting our very strong 2Q 2021 performance. In the second half of 2021, we expect strong growth in our U.S. non-mortgage business and international and a return to growth in GCS.  We also expect our U.S. mortgage business to grow about 15% in 2021 over 20 points faster than the expected approximately 8% decline in the U.S. mortgage market. 2021 revenue of between $4.76 billion and $4.8 billion reflects revenue growth of about 15% to 16% versus 2020 including a 1.5% benefit from FX. Acquisitions are positively impacting revenue by 1.9%.  EWS is expected to deliver about 30% revenue growth with continued very strong growth in Verification Services. USIS revenue is expected to be up mid-to-high single-digits, driven by growth in non-mortgage. International revenue is expected to deliver constant currency growth of about 10% and GCS revenue is expected to be down mid-single-digits in 2021. 3Q 2021 revenue is also expected to be down mid single-digits, with 4Q 2021 revenue returning to growth. As a reminder, in 2021, Equifax is including all technology transformation costs and adjusted operating income, adjusted EBITDA and adjusted EPS. These one-time costs were excluded from adjusted operating income, adjusted EBITDA and adjusted EPS in 2017 through 2020.  In 2021, Equifax expects to incur one-time cloud technology transformation costs of approximately a $155 million, a reduction of over 55% from the $358 million incurred in 2020. The inclusion in 2021 of this about $155 million in one-time costs would reduce adjusted EPS by about $0.97 per share.  This estimate of one-time technology transformation cost is up $10 million from a $145 million we guided in April. Given our very strong performance in 2021, we are investing to accelerate our tech transformation globally. 2021 adjusted EPS of $7.25 to $7.45 per share, which includes these tech transformation costs is up 4% to 7% from 2020. Excluding the impact of the tech transformation cost of $0.97 per share, adjusted EPS in 2021 will show growth of about 18% to 21% versus 2020. 2021 is also negatively impacted by the redundant system costs of $79 million related to 2020. These redundant system costs are expected to negatively impact adjusted EPS by about $0.49 per share and negatively impact adjusted EPS growth by about 7 percentage points. Additional assumptions included in 2021 guidance will be posted to the July Investor Relations presentation to be posted later today.  Slide 16 provides a view of Equifax total and core revenue growth that is included in our current guidance. Core revenue growth excludes the impact of movements in the mortgage market and Equifax revenue, as well as the impact of changes in our UC claims and Employee Retention Credit businesses within our Employer Services business.  Employee Retention Credits are specific U.S. government incentives for companies to retain their employees in response to COVID-19 and the associated revenue is not expected to continue into 2022. The data shown for 3Q 2021 and full year 2021 reflects the midpoint of the guidance ranges we provided.  In 1Q 2021 and 2Q 2021, we delivered very strong core revenue growth of 20% and 29% respectively. We continued to deliver strong core revenue growth in 3Q 2021 of 17% and 19% for all of 2021 in our expectations.  As Mark mentioned earlier, the composition of our core revenue growth is becoming more balanced, reflecting substantially increasing contributions from U.S. non-mortgage, International and as we enter 4Q 2021 GCS. And we continue to expect our mortgage business to grow at rates faster than the overall mortgage market. This very strong performance we believe positions us well entering 2022 and beyond. And now, I'd like to hand it back to Mark.
Mark Begor : Thanks, John. Turning now to Slide 17, as I referenced earlier, pricing power in our technology teams continue to make very strong progress on our new Equifax Cloud Data and Technology Transformation, with the North American technology transformation expected to be principally complete in early 2022 and the remainder of North America transformation and customer migrations completing by the end of next year and our international transformations following North America being principally complete by the end of 2023.  Equifax's transformation to a cloud-native environment delivers a host of capabilities that only Equifax can provide as the only cloud-native data and technology company. The Equifax Cloud will deliver always on stability, accelerated response time and built-in industry-leading security. It will provide our customers with real-time access to data and insights that they can rely on to make decisions. The Equifax Cloud through our Ignite analytics platform will allow customers and Equifax data scientists to work together utilizing EFX unique data assets and customer proprietary assets to define attributes and models to improve customer outcomes.  And we will continue to accelerate the time from analytics to production to bring new products and solutions to market faster and more efficiently enhancing customer benefits and Equifax revenue. Already the Equifax Cloud has enabled us to produce new products designed and delivered on our Cloud infrastructure four times faster than the past. We began to leverage these cloud benefits in 2020, as we more effectively developed new products and delivered them to market leveraging the new EFX cloud, growing new product introductions by 44% last year - in 2020. These new improvements have been further accelerated in 2021 as we are delivering the highest number of new products in our history and we are realizing higher revenue from new product introductions. Slide 18 provides an update on NPIs, a key driver of our current and future revenue growth. As we just discussed, the new cloud transformation has significantly strengthened our NPI capabilities allowing us to increase both the number of NPIs and the revenue generated from new products. We continue to expand our product resources and focus on transforming Equifax into a product-led organization, leveraging our best-in-class Equifax cloud-native data and technology to fuel top-line growth.  As I discussed earlier, in the second quarter, we delivered 46 new products, which is up about almost 2x from the 24 we delivered last year. Year-to-date, we've rolled out 85 new products, which is up 44% from the 59 that we delivered in the first half last year. We are energized as we continue to grow off an NPI record-setting 2020.  We wanted to highlight some of these products rolled out during the quarter, which we expect to drive revenue growth over the second half and in the next few years. Our new payment Insights products launched by USIS in April was delivered in partnership with Urjanet and uses consumer permission utility in telco data to improve views of customers, consumers' financial picture and help credit invisibles.  The cloud-based solution promotes greater financial inclusion regardless of the consumers' traditional credit score by empowering consumers to show utility and telco payment history with banks or lenders when applying for loans or other services. The product also allows lenders to seamlessly integrate data into review processes while meeting industry-leading standards for protection of consumer data security, confidentiality and integrity. Workforce Solution launched a new mortgage 36 product in May. This solution addresses income verification needs by enabling mortgage lenders to pull an extended set of both active and inactive income and employment data for a more complex income mortgage applicants where additional history may be needed in the underwriting process.  EWS also launched a new talent report employment staffing product in April. This solution provides flexibility on the number of past employers pulled to meet the employment verification needs of the employer. Staffing agencies leverage VOE as a reference check was often looking to verify only to employers, which this product helps deliver. In the United Kingdom, we launched the Credit Vitality View app. This Ignite-based app visualizes key credit data trends across the UK versus a company's own performance. It uses a range of macroeconomic measures and includes filtering capabilities, so our customers can focus on the performance of their own portfolio and product lines such as mortgages or credit cards. The app also can illustrate these company and market trends over multiple years. Lastly, we introduced the Equifax Affordability Solutions in Australia, New Zealand. These solutions deliver automated, categorized income and expense verifications in a way that delivers meaningful and actionable insights for our customers. Our customers can easily digest and act on these insights through the delivery of comprehensive consumer affordability reports, which are now required from a regulatory standpoint in these markets. This new solution will reduce loan application processing timing cost, improve conversion rates and maximize efficiency, while fulfilling responsible lending regulatory requirements, delivering overall improvements to the consumer experience.  These are just some examples of the new solutions we launched during the quarter. We are focused on leveraging our new cloud capabilities to increase NPI rollouts and new product revenue in 2021 and beyond. Growing NPIs is central to our EFX2023 growth strategy. And as a reminder, our Vitality Index is defined as the percentage of revenue delivered by NPIs launched during the past three years. In April, we increased our Vitality Index outlook for 2021 from 7% to 8% and we remain confident in this framework for 2021. As you can see from the left of the slide, our 8% vitality outlook for 2021 is a big step forward from the 5% vitality we delivered last year. NPIs are a big priority for me and the team as we leverage the Equifax Cloud for innovation new products and growth. Slide 19 showcases the capabilities we've been building over the past three years that only Equifax can bring to the marketplace. We have unique market-leading differentiated data at scale that includes our 228 million ACRO credit records, 119 million TWN income and employment records and additional data at scale that comes from our alternative datasets including Kount and CTUE, PayNet, IXI and others. Our advanced analytics allow us to build and test attributes faster, leverage artificial intelligence and machine learning, and develop models in days and weeks where used to take months. Our team of 320 data scientists located around the world are leveraging our advanced analytics and Equifax Cloud-native infrastructure to define and deploy cloud-native products and solutions. And our cloud-native data fabric is allowing us to key EnLink our unique data asset in ways that we could never do before. Our data fabric stretches across the globe and we are in the early innings of leveraging its global capabilities. Only Equifax can provide these capabilities and we are on offense as we deploy these into the marketplace.  Wrapping up on Slide 20, Equifax delivered a record-setting second quarter. We have strong momentum as we move into the second half. Our 26% overall and 29% core revenue growth in the quarter reflects the strength and breadth of our business model and early benefits from our Equifax Cloud investments and of course, its enhanced focus on new products. We’ve delivered six consecutive quarters of strong above-market double-digit growth. Our strong performance reflects the execution against our EFX2023 strategic priorities, Equifax's on offense. As we discussed earlier, we are confident in our outlook for 2021 and we raised our full year midpoint revenue guidance to $4.78 billion, increasing our 2021 growth rate by over 370 basis points to almost 16%. We also raised our midpoint EPS guidance to $7.35 increasing the growth rate by over 640 basis points. As we discussed earlier, Workforce Solutions had another outstanding quarter delivering 40% revenue growth and 58% EBITDA margins. EWS is our largest fastest growing and most valuable business. During the quarter, Workforce Solutions delivered 40% of Equifax revenue and we expect EWS to continue to drive Equifax's operating performance throughout 2021 and beyond as consumers recognize the value of our growing TWN database. Rudy and his team remain focused on driving outsized growth by focusing on their key growth drivers of adding new records, rolling out new products, driving penetration, driving their new Talent Solutions Data Hub, expansion into new verticals and leveraging their new EFX cloud capabilities.  USIS also delivered another strong quarter of 11% growth, driven by their 14% non-mortgage organic growth. We expect USIS non-mortgage growth to continue to be strong due to the economic recovery, the commercial focus of the team, new products and our unique alternative data assets. Sid and the USIS teams are competitive and winning in the marketplace and will continue to deliver in 2021 and beyond.  International grew for the third consecutive quarter, accelerating to 25% in local currency in the second quarter as economies reopen and business activity resumes. Our new international leader, Lisa Nelson has high expectations for her team and we expect continued strong growth through the rest of 2021. We are beginning to realize the benefits of our EFX Cloud Data and Technology transformation as we accelerate new product innovation with products designed and built off of our new EFX Cloud infrastructure. We’ve spent the last three years building the Equifax Cloud and we're now starting to leverage our new cloud capabilities. As we move through the rest of the year and into 2022, we'll be increasingly realize the top-line, cost and cash benefits from these new cloud capabilities.  Accelerating new products, leveraging our differentiated data and the new EFX cloud capabilities is central to our EFX2023 growth strategy. We are beginning to see the benefits of our new product focus and resources leveraging the EFX cloud with the 85 NPIs completed in the first half, pacing well ahead of the record 134 we delivered last year. As we discussed in the past, bolt-on acquisitions that expand our differentiated data assets, strengthening Workforce Solutions and broadening our ID and fraud capabilities are integral to our future growth framework. We have reinvested our strong cash flow in five bolt-on acquisitions so far this year that will add 170 basis points to our revenue in the second half. We will continue to focus on accretive bolt-on acquisitions that strengthen Workforce Solutions. I am more energized now than when I joined Equifax three years ago what the future holds as we move from building the cloud to our next chapter of growth leveraging the new Equifax cloud for innovation, growth and new products. We have strong momentum across our business as we move into the second half and we are beginning to deliver on the benefits of the significant cloud data and technology investments we made over the past three years. Equifax's on offense and positioned to bring new and unique solutions for our customers that only Equifax can deliver leveraging our new EFX cloud capabilities. With that operator, let me open it up for questions.
Operator: [Operator Instructions] Our first question today is coming from David Togut from Evercore. Your line is now live. 
David Togut : Thank you. Good morning. Good morning, Mark. Good morning, John. Good to see the strong growth and NPI continuing in the 13% new record growth. Clearly, the first half outperformance versus your guidance continue to come from the strength in Workforce Solutions. So, as we look at the second half guidance, what’s embedded in terms of the outperformance of EWS core mortgage growth versus the mortgage market 62 percentage points in Q2. How are you thinking about the back half in terms of EWS core mortgage outperformance?
Mark Begor : Yes. So, David, we don’t give specifics by BU in terms of how we break down core. But as you can see from the detail we gave we are expecting to have very good core growth in the third quarter at 17%. We are expecting EWS with the continued performance extremely well and we are expecting them to continue to substantially outgrow the mortgage market.  And as we indicated for the full year, we expect our mortgage revenue to grow 15%, that’s up from what we talked about in April and it’s more than 20 points higher than the 8% decline that we are talking about for the overall mortgage market itself. So, we expect EWS to continue to substantially outperform and to continue to deliver very high core revenue growth.  To give you data there is multiple levers by the Workforce Solutions team to drive that outperformance, it’s specifically in mortgage and of course all the other verticals that the record additions help fuel that the new product roll outs that the team did last year and are continuing this year in the mortgage space will drive that.  We gave some visibility around our growth in the mortgage market itself. As you know, we don’t see every mortgage. So the team is focused on adding income and employment from Equifax. The large portion of mortgage is we still don’t see. And of course, we are continuing to drive the system-to-system integration.  So, all of those libraries that are what Rudy and his team are deploying to continue to drive that outperformance not only the mortgage market, but all of their markets. 
David Togut : Appreciate that. Just as a quick follow-up, looking at the 14% USIS organic non-mortgage growth in Q2, in which verticals are you gaining significant market share? And if you could maybe kind of compare where you are today in kind of non-mortgage USIS versus where you were a year ago? 
Mark Begor : Yes. I would say, first, we are certainly benefiting from the economic recovery. We’ve seen that in card issuers and really all of the financial institutions are doing more marketing. You’ve seen strong performance there in the consumers back in accessing credit products. So you’ve seen that both in the mortgage side but I think you are focused more on the non-mortgage of course.  The new product rollouts are benefiting Sid and his team as they are focused on bringing new products to market. And really broadly, we’ve got a strong focus as we’ve been very clear over the last, really almost 24 months about the focus that the team has on building out their deal pipeline. They are focused on their customers.  We’ve rebuilt and enhanced our commercial team with more coverage. We’ve added more resources. We’ve re-levered the commercial team. So, all of those are benefiting from us and we’ve got a lot of confidence in our ability to be competitive in the non-mortgage market in USIS going forward. 
David Togut : Thanks very much. Appreciate all the insights. 
Operator: Thank you. The next question today is coming from Kevin McVeigh from Credit Suisse. [Operator Instructions] Kevin, your line is now live. 
Kevin McVeigh: Great. Thanks. I am going to ask one question, because I got a couple parts to it. But, hey Mark, you’ve got EWS’ 40% of revenue today, 53% of EBITDA versus about 23% in 2017, somewhere around there. It feels to me like, what’s happening with the TTI as you are accelerating the shift to EWS. So, can you help us understand kind of the dynamics of how the cloud transition impacts EWS versus the core business?  And then, within the context to that, if my math is right, the average client size was about 4000 contributors in terms of employees in 2018 versus about a 100 today. So, how do those dynamics kind of impact EWS?  What I am trying to get at is, it feels like, there is going to be structurally higher level of growth looking beyond the volatilities just mortgage overall. And again, it feels like that’s something structural. So, just maybe trying to frame that to the extent you can help us. 
Mark Begor : Sure. And just broadly, as you know, we are focused on growing all of our businesses, all four business units. And clearly, Workforce Solution is very unique and really driven by the uniqueness of the income and employment data that it has at scale and the value of that. And we’ve talked I think, Kevin, in the past that there was an element of catalyst from our perspective when the dataset got over 50% of non-farm payroll, call it a year ago.  And it just made the dataset more valuable. And when you think about someone’s credit history, did they pay their bills is very valuable, but are they working and how much do they make is equally valuable. And really only Equifax has that dataset. The Workforce Solutions business has levers as we talked a couple of times on the call already they are really quite unique.  And I think it starts with records. Most data businesses have all the records. Workforce Solutions has shown a history of building out their dataset and as I talked in my comments, we added 14 million – rough 14 million records on a year-over-year basis. So we are continuing to add records. As you know, we got visibility for a significant addition or meaningful addition from a large payroll processor in the second half of the year.  And we are out there talking to individual companies to grow the dataset, which we do through our Employer Services business by providing those services. And then of course, the other payroll processors or that we don’t have now with Equifax we are working to add. So records is a very important lever for that business and there is a long runway not only with non-farm payroll, where we are at 91 million unique versus 150 million or so total non-farm payroll.  But we are focused on the Gig economy, which is another 40 million to 50 million individuals that have either first or second jobs or self-employed outside of the non-farm payroll and then of course pensioners. So, records are big opportunity for Workforce to grow.  And then you’ve seen a lot of growth over the last couple of years beyond mortgage. Mortgage was always a place that this business is focused on and we’ve been able to grow very, very strongly in the government vertical and of course you know, we got the large SSA contract that’s going live in the second half and ramp to $40 million to $50 million of incremental revenue in 2022. So, that’s an example of the dataset being used in another use case.  And the other area that we’ve been focused on outside of just kind of the core growth of the products and attrition, more usage and records is around strengthening the business through M&A. As you know, we’ve done two acquisitions so far this year. HIREtech and i2Verify to strengthen our Employer Services business, which delivered records.  Of course, that’s just a good core business. We talked about some of the solutions we have in the market like on anywhere they are growing outside of some of our traditional financial markets. So that focus on the hiring process where 75 million people are hired every year or change jobs and most of them have to have some kind of background screening done that relies on work history along with government data elements.  And today, we are building out the Equifax Data Hub, our Workforce Solutions Data Hub that includes our TWN data, but also other unique data elements and we’d like to do more M&A in that space to strengthen Workforce Solutions as I mentioned in my comments that we are focused on building that out.  And just maybe closing on Workforce, the business has a long history of outperforming its underlying markets and I think if you look back a couple of years, you’ve seen a step-up in that outperformance in the last couple of years that we link to the scale of the dataset. The cloud has allowed us to ingest more data more quickly.  Think about it two years ago, maybe three years ago, we had 27,000 contributors or companies contributing. Now we have a 1.2 million and there is different numbers about there and how many companies there are in the United States, 3 million, 4 million, 5 million. But we are really scaling that dataset quite substantially. So, it’s a very unique business. It’s one that we are investing in organically.  The cloud is allowing them to ingest more data and you’ve seen a ramp up in new products coming out from Workforce Solutions as they start to leverage the new product capabilities and of course that’s happening across Equifax. 
Operator: Thank you. The next question today is coming from Manav Patnaik from Barclays. Your line is now live. 
Manav Patnaik : Thank you. Mark, I apologize, just what you said on the Workforce M&A. Did you say that background screening was an area you are interested in or what was the comment? 
Mark Begor : No, no. No, I didn’t say that. What I said was that, what’s really interests us and when we talked about it before is, number one, strengthening the core Workforce Solutions. It’s our strongest business. It’s our largest business. It’s our fastest growing business. And doing acquisitions like HIREtech and i2Verify is clearly a priority for Equifax.  The other area that we’ve talked before with you and others about is the Talent Solutions Data Hub. We want to be in the data business around the hiring process. We are now, as you know, with our work history. We have an average of 4.5 jobs on the average American in our database and that work history is very valuable in the hiring process.  And beyond work history, as you know, other data elements like, where did you go to school. What licenses did you have. Have you ever been incarcerated before. Have you been arrested before. All those data elements are very, very valuable and we are building now our data hub of partnerships. If we could find a good way to M&A in that space, we’d like to do it. 
Manav Patnaik : Okay. That makes sense. And just, John, I don’t know if I missed it, but I was hoping you to help us just how to think about what you’ve baked into your guidance, so just the growth in verification and employee services for the back half of the year? 
John Gamble: Yes. So, I think what we talked about is we gave a good view, I think what we expect the growth to be for the full year and as we indicated, we expect Workforce Solutions to grow over 30% in the year. So, obviously, that’s up substantially from what we talked about in April. So, it reflects the much stronger performance in the second quarter but also continuing very strong performance in the third and fourth quarters. And we are expecting as I said, as we continue the strong performance across really all the businesses as we talked about I think effectively, we held or increased our expectation for growth in all of our businesses in the full year and therefore in the second half. So, we are feeling very good about the trend. 
Manav Patnaik : Alright. Thank you. 
Operator: Thank you. Next question today is coming from Hamzah Mazari from Jefferies. Your line is now live. 
Mario Cortellacci: Hi, this is Mario Cortellacci filling in for Hamzah. Just a quick question on your international business and I guess, specifically Australia. Could you just walk us through how margins in that business differ from other international markets? And then, if you could also just talk about your view on the recovery there? I think they did went into lockdown again. So, just want to get your outlook. 
Mark Begor : Yes. International still is broadly kind of lagging the United States, maybe Canada is quite similar as far as the vaccine rollouts. But other markets, I guess, UK is similar. But that’s been choppier internationally than it has in the United States for sure and as you point out, Australia has got another lockdown, because the vaccines are really lagging there. The market has adjusted lot of international markets like it did in the United States quicker, meaning customers and consumers figure how to live their lives and operate their businesses in more of a virtual environment. And I think that’s what we are seeing in Australia with – and our international markets that are still lagging in some regards, particularly in Latin America around the COVID lockdowns being relapsed.  The margins, John, we are not growing dramatically different and on a global basis, I wouldn’t characterize them differently by market. We really don’t talk about on a market basis. 
John Gamble: Yes. We don’t talk about them on a market basis, right. But what we’ve indicated historically is, markets that look very much like the U.S., so we talk about Canada tends to run at higher margins than some other businesses. Australia looks probably more like international averages than you think about Canada that would be stronger. 
Mario Cortellacci: Understood. And then, just my follow-up, could you just comment on the Fraud segment of the business? And how much further scale can you gain there more through more M&A post the Kount deal. Obviously, it’s a highly fragmented market there. And then, any initial views on synergies that you are seeing as you are integrating Kount? 
Mark Begor : Yes. I commented earlier that we are quite encouraged by that. We are really very energized and pleased with the acquisition in the team that we brought on board from Kount. ID and fraud is a very strategic growth area. It’s also an area as you pointed out, if we could find more M&A, we’d like to do it to broaden. It’s a very big space and as you pointed out, it’s very fragmented.  We think we’ve got very unique data assets to play in identity and fraud and kind of really augments that and that’s really the power of the Kount combination and synergies with Equifax. It’s really leveraging their data at scale from the ecommerce world. They have something like 32 billion interactions every year with consumers.  They have really scaled data assets around email addresses, IP addresses, cellphone numbers, over 400 million verified elements. And with ecommerce, you are interacting very quickly, because a lot of people are doing ecommerce. So the data is very current. And the combination of that data from Kount with Equifax is really the power.  And ID and fraud, we believe starts with data and that’s why we think we have a license to play and if we could find more and we are looking for more M&A in the ID and Fraud space to further strengthen our position is a huge TAM that the market is, I think, close to $18 billion globally for ID and Fraud and it’s growing at 20% with the large digital macro meaning more consumers interacting in really every aspect of their lives, whether it’s financial services, insurance, telco, or of course, ecommerce and retail digitally.  And with that digital interaction, the requirement to verify that Mark is really Mark, it’s critically important. And that’s where the data assets come in. And also to do it seamlessly meaning where the consumer doesn’t feel it. And the way to do that is to power it with more data. So, we are quite energized about the integration with Kount. The progress so far and it’s an area we’d like to be bigger in going forward both organically through the products and the synergies of the Kount acquisition, but also inorganically if we could find some M&A that would strengthen us. 
Mario Cortellacci: Great. Thank you. 
Operator: Thank you. Next question today is coming from George Mihalos from Cowen. Your line is now live. 
Mark Begor : Hey, George. 
George Mihalos: Hey. Good morning, guys. Congrats on another strong quarter. Wanted to ask a broad question to kind of start things off, obviously, there is a lot of debate going on looking at the bond markets and alike. But, to the extent, we enter a more inflationary period going forward, is that’s something that could be a catalyst for you guys both in terms of people relying more on credit and obviously, potentially the help of some of your FI customers in an environment where rates go up. I am just curious how you guys are thinking about that, if you are thinking about that at all? 
Mark Begor : Yes. We think about it and so, obviously, something that is hard to forecast. But when you think about interest rates going up, or inflation going up I think you got to step back and look at the consumer itself. The consumer coming out of COVID is very strong. But at the same time they are coming out of COVID with some pent-up demand.  When we think that bodes well for the credit environment, meaning that the consumers are healthier, meaning they can access more credit and there is an underlying desire to going vacations, expand your home, buy new car, all those elements I think are a catalyst for the economy which we are already seeing and obviously quite strong.  And for the credit bureaus in Equifax, that means our customers are going to be spending more in marketing, spending more on originations and looking for new solutions to identify the consumers. If you think about our customers, they are very healthy. They really managed the pandemic much more strongly because their consumer was stronger.  Their losses were not anywhere near what were anticipated. So, our customers are strong and they are looking to grow. And if you got a consumer that’s been paying down balances in lots of areas like cards and others during the pandemic because the stimulus and their broad financial strengths.  Our customers need to build up their balance sheets by getting more loans on their books, whether it’s credit card or personal loan, an auto loan or a mortgage and of course, the other area that we watch is what impact higher interest rates may have in the future on the mortgage market. The one counter to that is there is still at least in current rates, a loan pipeline and John talked about it of consumers that will still benefit from a refi.  And then, the other element that we are watching is, home price appreciation is up dramatically. And that home price appreciation is an asset for consumers that historically they will access through either home equity loans or a refi of their mortgage to cash out refi. So that’s another catalyst that there we keep an eye on. So, there is a lot of variables there which, - but when we think about our guidance for the second half, we got a lot of confidence in the underlying Equifax business, our ability to perform, which is why we raise guidance. 
George Mihalos: Okay. Great. Appreciate that color. Obviously, there are lot of puts and takes there. And then, John, just a housekeeping question and forgive me if you have answered this, I maybe missed it. But the margins in USIS, I think you called out several factors, some related to the inclusion of some of the tech expenses and then some additional sales and marketing as you would invest more in the segment. Is there a way to think about what the margins would have been in the year-over-year basis, apples-to-apples, so basically excluding what the contribution to expenses were from increased tech costs? 
John Gamble: Yes. I think, what we said is that, the biggest driver were the tech-related costs and the decline of about I think it was 380 basis points year-on-year. We’ve also definitely invested more in marketing and sales given new NPI rollouts in the improving economy. And that’s certainly impacted year-on-year and that would have been more impactful if you think about sequential. But we didn’t give specifics. But we did indicate that the biggest driver of year-on-year decline is the tech-related cost. 
Operator: Thank you. Our next question today is coming from Andrew Steinerman from JPMorgan. Your line is now live. 
Mark Begor : Hey, Andrew.
Andrew Steinerman : Hi, it’s Andrew. So, two questions. One, John, could you tell us the percentage of revenues in mortgage for just the second quarter just reported? And the second question is, I wanted to get back to a comment in Mark’s prepared remarks about growth in Employer Services. I am pretty sure, Mark, that you said 20% growth this year outside of UC and ERC. Just again, correct me if I heard it right. And is that organic number and how much would we think that UC and ERC would change that number when thinking about ES growth for the whole year? 
Mark Begor : Andrew, mortgage was about 32% of revenue in the quarter. 
Andrew Steinerman : Thank you. 
Mark Begor : And on the Employer Services, we did say that we expect it to be up 20% for the year. And that’s really driven by a lot of the new product roll outs that we have, the I-9 Anywhere solutions. We are just seeing real traction in the hiring process that’s really driving that. 
Operator: Thank you. Next question today is coming from Simon Clinch from Atlantic Equities. Your line is now live. 
Simon Clinch : Hi. Thanks for taking my question. I wanted to follow-up again with Verification Service in particular. I’ve been quite excited by the step-up in growth rates for the non-mortgage portion in the second quarter. And this is before you’ve got the Social Security Contract before you’ve got the new record coming in. So, I was wondering if you help me understand or give me some color around how to think about that pace of growth as we move through the next year or two, because I am struggling to work a wide or such a big step-up in the fourth quarter. 
Mark Begor : Yes. There is an element of COVID recovery in there in some of the markets like cards and in auto and P loans, so that there is an element to that. Records are a piece of it for sure. As you add records, our hit rates go up. So that’s clearly an element. Our real focus on new products in that space and as you point out, SSA contract that will go live in the second half will really ramp in – somewhat in the second half of the year. But it’s really a 2022 benefit as it gets to full – the full runrate. There is just a lot of opportunities for us in the non-mortgage space. In Talent Solutions, we talked about a very strong growth there. And then, some of the other non-mortgage financial verticals are performing well. 
John Gamble: Yes. Mark mentioned huge growth in Talent Solutions and government, which are the two biggest segments by far in Verification Services. 
Simon Clinch : Okay. Understood. Thank you. And just a follow-up. I was wondering just more broadly, with some of the fin-tech startups growing in the market today, that are effectively using multiple or alternative datasets just like you are, yourselves.  But it’ also using the credit reports in data as well to sort of improve models for risk assessments and decision-making in the credit process. As that where you have gone today, but it’s not kind of market opportunity grows. You become – I am assuming you become more competitive along with. And I was wondering if you could talk about that that’s the longer term competitive dynamic and how you are planning to navigate that? 
Mark Begor : Yes. I wouldn’t think about them as competitors. They are customers and partners. The bulk of the data they use in their processes comes from us or our competitors. They have some of their own data from historical interactions with consumers. But whether that’s going to be broad data to verify, their consumers who they say they are in a BNPL transaction or a lot of the fin-techs are in P loans and sub-prime auto and mortgage and of course in cards, they are using our credit file.  They are using our MC Plus data. We sell quite a bit of in fin-tech of our TWN income and employment data that’s used in some of the larger ticket transactions there. So, they are very data savvy. Very data sophisticated and as you point out, they look for more data to enhance the crediting decision, which plays well for us, because as we continue to build out our differentiated datasets, we can bring real value in enhancing the credit decision or the decision they are making with the addition of more data.  So, we view it as a positive. I think as you know, we weren’t focused on fin-tech three, four years ago. We changed that and really expanded our resources and capabilities there and we think our cloud investment plays well for fin-tech. Our differentiated data plays well for fin-tech. And our new product focus plays well for fin-tech. So it’s a place we want to be larger in. 
Operator: Thank you. Our next question is coming from Andrew Nicholas from William Blair. Your line is now live. Nicholas, please go ahead sir. 
Andrew Nicholas: Thank you for taking my question. My first one, I wanted to ask another one on international. You mentioned in your prepared remarks and it’s noted on a few of the slides that you are outgrowing underlying markets. So, I was wondering if there is any region in particular, or countries in particular where your share gains are outsized internationally? And then, to the extent that’s the case, what is specifically driving your gains in those markets? 
Mark Begor : Yes. Our – all the markets really were quite strong in the second quarter with every region really up over 20%. So, with broad base, there is definitely an element that’s meaningful in the quarter from the COVID recovery. I think all the international markets after a year of COVID it really figured out how to operate. Because they all have a different flavor of COVID challenges and they are still operating with – like the Australia lockdown or UK opened up on Monday.  But there is still some hesitancy, I think for some consumers to go out. But they don’t have operates. I think that’s a big driver. I wouldn’t really highlight any market differently than the other. We have a very strong market position in Australia.  In Canada, we have a very strong market position. We do it in Latin America in a lot of the markets that we operate in. I think broadly, our international markets are very NPI focused. They always have been by really leveraging new products created in the United States or unique to their markets and in getting those out. Those are a big fuel for growth going forward.  And in a lot of our markets, we are continuing to grow our data assets. You’ve heard, I think, one or two of the new products I highlighted are our new solutions in our international markets. 
Andrew Nicholas: Got it. Thank you. And then, for my follow-up, I know it’s been touched on a few times already, but to flush out Talent Solutions a little bit further, I think you said 200% plus growth there. Is there any additional color you could give on specific products that are contributing? And maybe more importantly, from my perspective, how should I think about how much of that strength is tied to better hiring volumes to the extent that it is, particularly relative to the second quarter of last year? Thank you. 
Mark Begor : Yes. So, there has been a really substantial focus on new products in Talent Solutions and they are generally built around for allowing the party that’s purchasing the product, right. Whether it be a background screen or somebody else, to buy specifically the information they need for the duration they require it. And we’ve launched a series of products that allow them to do that in ways and they tend to be at very attractive price points for Equifax. So, - so, we are seeing very good improvement in NPI in Talent Solutions. Really it’s a real strength for EWS. But obviously, we’ve also seen very substantial increase in hiring as we get into the second quarter relative to last year. So, I think it gives you a break down. But what I can say is and I think we’ve been talking about this consistently since at least the third quarter that new products have driven a substantial amount of growth in Talent Solutions really starting about midway through last year. 
Operator: Thanks. Our next question today is coming from Kyle Peterson from Needham. Your line is now live. 
Kyle Peterson : Hey. Good morning. Thanks guys for taking the questions. Just want to start on EWS picked any Employer Services. It looks like the momentum has been really stronger on the Talent side. How should we think about some of the puts and takes in that business as things open up between growth on that side of the business versus like some of the excess UC claims kind of declining as long as things keep improving? 
Mark Begor : Yes. We’ve been very clear that we expect UC claims to decline from their extraordinary levels of a year ago and that’s a part of our guidance and when you think about some of the other solutions we have, the hiring process is generally good news for a lot of those. Whether it’s I-9s onboarding an employee. The employer resource credit is one that’s really still a COVID benefit that we expect to benefit through the rest of the year. But that’s an area that we are focused on expanding and as you know, we did two acquisitions, particularly HIREtech that we acquired in the first quarter is helping us get stronger and work opportunity tax credits, which is a space that we’ve been growing going forward. 
John Gamble: Yes. The only thing the Employer Services excluding UC and ERC, right, which is what we exclude from core growth. The two biggest businesses there are I-9 and our business that supports ACA and our I-9 business as we talk to is growing very fast, right. And that’s new solutions and new – using our new commerce platform to get the much smaller customers. So they can access us more quickly and directly and then also obviously with the changes in what’s occurring in the ACA we are seeing that return to growth. So, I think those two factors are been very beneficial in the growth of the businesses excluding obviously UC and ERC, which Mark already talked about. 
Kyle Peterson : It’s super helpful. And then, maybe just a follow-up. You guys have mentioned the large payroll partnership that’s planned going live later in the year. Maybe if you could give us any color on potential size and the rate of monetization once that goes live and how that could influence the back half of the year? 
Mark Begor : Yes. I don’t think we want to get into the exact size on it. But we’ve been trying to be clear, it was one of the top payroll processors and we are pleased to be adding them to the TWN database and we factor this into our framework or guidance for the second half. And obviously, if it’s added, it will benefit us in 2022, benefit Workforce Solutions as those records are added. Those turn into revenue in our system integrations. 
Kyle Peterson : Thanks guys. 
Operator: Thanks. Our next question is coming from Toni Kaplan from Morgan Stanley. Your line is now live. 
Toni Kaplan : Thanks very much and good morning. You mentioned the final pay leader in a recent question and that’s seeing a lot of growth right now. Can you just talk about your position in that market? Any sort of current revenue contributions and growth rates you are seeing there? And how you view the opportunity little bit more generally like in terms of future potential for that market? 
Mark Begor : Yes. We are participating in the BNPL space in the states and other markets around the globe where Australia and UK and Canada I think our markets also have – we have the BNPL relationships. We provide identity to them after verify who the consumer is and some of the BNPL players are starting to move to larger ticket transactions and looking to do more of an underwriting of the consumer. If you are doing a BNPL on a $100 pair of blue jeans, there is a risk profile that you can do less underwriting, if you will. Maybe just verify the identity of the consumer to make sure it’s not a fraudster when you start doing a refrigerator or a couch or a larger ticket transaction. So, in all of our BNPL discussions we are talking to them about their desire to move into bigger ticket transactions and leveraging Equifax data to do that including the credit trial, some of our alternative data like NC Plus or incremental employment data from Workforce Solutions. 
Toni Kaplan : Great. And then, for my follow-up, consumer indirect has got slightly better in the quarter. But it’s still down. I know you said you expected it to return to growth in 4Q. But we did see that one of your clients – one of the larger players in the space reported a very strong quarter. Just wondering is there just sort of a lag to get to – basically to get to you? Or I guess, why isn’t that better yet? 
Mark Begor : Yes. I don’t know which competitor you are referring to. But as you might imagine, we all don’t have the same customer relationships and there is a different level of COVID recovery I think with that space. And when you think about lead gen players, if you are a bank, you are going to restart your own lead gen first before you start buying third-party leads from a lead gen player. So, I think there is some lag in that that we expect improve as we go through the second half. 
Operator: Thank you. Our next question is coming from Andrew Jeffrey from Truist. Your line is now live. 
Andrew Jeffrey: Hi. Good morning. Lots of terrific information here. Appreciate it. Mark, I am wondering if you can talk a little bit about within EWS verifier in particular. The volume which I assume is being driven nicely by NPI, as well as the TWN database but also price and I am thinking about price to value around some of your newer solutions but also the impact of more digital verifications in mortgage for example. Is there a dynamic you can call out sort of between price and unit, so we can think about yield in that business? 
Mark Begor : Yes. We don’t talk about specific price, but we try to exercise price in all of our businesses. So, as you might imagine, through our uniqueness of the solution or the dataset and of course Workforce Solutions is for sure our most differentiated data asset. So, we do use price, but product is also a very strong way to enhance revenues.  We talked in the past about historically, we have a single whole solution that we might sell for $15, $20, $25, $30 of Workforce Solutions and some of the newer products we’ve rolled out in the last 12 to 18 months deliver more value to our customers whether it’s more historical data at a $150 price point or it’s allowing a co-borrower solution called, we call it Mortgage Duo where you can pull a husband and wife that are both applying for a mortgage in a single pool, that’s priced at more of the $150 solution.  Multiple pool alternatives in order to incent the usage out of those, you can decide, define it whether you want to call it price or product, but it all results in higher revenue and higher margins. And that’s definitely influence the strategy is to leverage the new cloud capabilities around the use of our data in Workforce Solutions to bring new solutions to market.  And then as you referenced earlier, records are obviously result in higher hit rates. Remember, we are getting in system-to-system integrations. We get a hit on our database on every customer where we consumer that our customer has and now we are in that kind of 60% hit range on the non-farm payroll as we add records and go to 61%, 62%, 63%, that drives revenue of course.  And the systems – system integrations that we have, which are growing, we are now at 75% at mortgage, continuing to grow that. We only see 60% of mortgages meaning there is a lot of customers out there that we still have to add to our relationships. So that’s another growth lever.  So there is just a lot of place here in growing that business which is why I said the outsized growth is you’ve seen for really a decade that the stronger growth in the last couple of years from the scale of the dataset where it just becomes more valuable to integrate into our customers’ workflows because of the higher hit rates that it delivers. 
Andrew Jeffrey: Thank you. I appreciate that. 
Operator: Thank you. Our next question today is coming from Craig Huber from Huber Research Partners. Your line is now live. 
Craig Huber : Yes, good morning. My first question on Fraud and ID, can you potentially size that for us in the U.S.? I am just – I know it’s across multiple products you have there and then just, what the growth rate is if you could break that out for us please? 
John Gamble: Yes. I think we’ve talked about this in the past, right that as we look at 2021, we are expecting to see our total Fraud and IT business, even that’s when I break out the U.S. separately to be over $200 million. so, that includes the addition of Kount. But in total, we are expecting our Fraud and ID business to exceed $200 million in 2021. 
Mark Begor : And that’s a space as you know we want to grow. That’s why we did the Kount acquisition and we are still in the early days of that integration and really driving the synergies and combining the data assets and rolling out the new solutions that the combination of Equifax data and Kount data is going to deliver principally in the U.S. but Kount also got global capabilities. so, it will benefit us at some of our global markets too. 
Craig Huber : And what sort of revenue growth and what would that imply for the full year? And then my follow-up question if I could ask please? In USIS, can you just hit on a little bit on autos, credit card, personal loans in your core credit card – credit bureau business? How well that did in the last quarter and what’s your sort of outlook more importantly for the second half of the year? Thank you. 
Mark Begor : Yes, I don’t think we’ve given in Identity and Fraud a growth rate. But I think we have shared broadly and you know this – the market itself is growing 20%. So, that’s underlying why we invested in Kount and why we are still very open in looking – it’s a priority of us to do more M&A because the size of the TAM is $18 billion growing at 20%. The digital macro of more consumers doing things online on their phone, on their tablets, on their computers is really driving us which is why we want to be bigger in it.  As far as in USIS, auto has been impacted by some of the inventory issues. So that’s clearly dampened some of their growth. We’ve seen strong growth in card as marketing and broadly originations, if we come back and same with P loans. 
John Gamble: And as Mark mentioned in his comments, right, FI grew over 20% and auto grew double-digits – so, in the quarter. 
Operator: Thanks. And our next question is coming from George Tong from Goldman Sachs. Your line is now live. 
George Tong: Hi. Thanks. Good morning. Two questions. Within your non-mortgage USIS business, how does revenue in 2Q 2021 approximately compare with 2Q 2019 levels? And then secondly, how is your non-mortgage USIS business performing relative to the broader industry from a growth perspective? 
John Gamble: Hey, George, go with the first question, I am sorry. 
Mark Begor : How did we compare to – how does our second quarter in USIS compare to 2019? 
John Gamble: Yes. So, we haven’t given the specific detail. But what we have indicated is we are seeing growth relative to 2019 really across most of the businesses, right? 
Mark Begor : And then, second one is versus the – I think your second question, George, is versus the industry, which I assume needs versus our competitors. One of our competitors hasn’t reported yet and I think versus the other that did, I think we are in line and quite pleased with our performance in competitiveness in the marketplace and we are seeing that with the kind of core growth that we are delivering in non-mortgage. 
George Tong: Got it. Thank you. 
Operator: Thank you. Our next question today is coming from Jeff Meuler from Baird. Your line is now live. 
Jeff Meuler: Yes. Thank you. For Employment and Income Verification, do you have a sense of how often the cost are borne out of the profit pool of the originator versus pass-through because the consumer and their closing costs. And on the 60% metric that you gave us, any sense if you over or under index to the purchase first refi market relative to broader enquiries, specific on the verification services? 
Mark Begor : Yes. And I think you are talking about mortgage, Jeff. In mortgage, you know, the credit file that was used in virtually a 100% in mortgage and that’s a pass-through clause for the consumer. We are starting to have some originators move the income and employment data as a closing statement in I guess, early days on that and we think that’s an opportunity going forward it’s going to take some time. 
John Gamble: Yes. In terms of whether our penetrates is different in refi versus purchase, we don’t think so. We think it’s relatively consistent. It’s basically driven more by the underwriter or the provider of the mortgage than it is by the refi versus new purchase. 
Jeff Meuler: Got it. 
John Gamble: I think, Jeff, you know the difference in number of polls on the credit side versus the income and employment, we’ve been closing that gap on income and employment with there is an average of four to five credit polls for a mortgage and now we were in kind of the two plus range on income and employment data which is up from a number of years ago or closer to one and that’s when we want to continue to grow and we think there is opportunity there. 
Jeff Meuler: Yes. I hear you. And then on Slide 11, the mortgage outgrowth within verify relative to end-market inquiries, where do you expect it to level off in coming years? And maybe at least you’d say, do you expect it to be higher than this kind of 11% to 21% range it was in pre-2020 because of all of the structural growth drivers you are talking about? 
John Gamble: Well, I don’t think we want to get into guidance that level given it’s outside of 2021. If you think about the opportunities we’ve laid out and what the cloud benefits are, we believe there is a lot of opportunity for Workforce Solutions broadly and in mortgage. When you are adding records, obviously it allows you to grow the market whether it’s up, down or sideways. So, and that’s a big focus for us and we start a lot of runway on records and the scale of the dataset, more system to system integrations, we get a 25% lift in polls in our system to system integration versus coming to our website. The number of polls, closing that gap with the 4 to 5 on the credit file. New products is another way to continue to outgrowth the market which we are focused on pure price. Obviously, it allows you to outperform the market. So, we are confident in the scale of the levers there, but I don’t think we want to give any guidance on what it’s going to look like over the long-term. 
Jeff Meuler: But those levers are increasing relative to prior periods, correct? That’s the right interpretation?
John Gamble: 100%. 
Jeff Meuler: Okay. Thank you. 
Operator: Thank you. Our next question today is coming from Ashish Sabadra from RBC Capital Markets. Your line is now live. 
Ashish Sabadra: Thanks for taking the question. Just a quick – wondering if you can provide a quick update on your FICO partnership and the data decisions cloud. Have you seen better traction there, particularly as consumer marketing and consumer lending picks up? Thanks. 
Mark Begor : Yes. It’s an important relationship for us. I do a quarterly review with Will Lansing the CEO of FICO and myself and the team. We – actually, it’s not quarterly, it’s monthly. So we are excited about that and decide the data decisions cloud which is the integration of their solution with Ignite. We are also in market with a joint solution on AMLKYC that we are very pleased with and we are looking for other solutions going forward. So, we are pleased with the progress. We are in the market commercially and looking to benefit both of what makes sense and of course we go to market independently where it makes sense to. 
Ashish Sabadra: Actually helpful color. That’s great. And then, maybe just a quick question on any update on the regulatory front? Again, I know you’ve spoken about this in the past. But just there was a financial services committee hearing in June. And then, there were certainly things around regulators are talking about the changing the CRA.  I was just wondering if you can talk about how that can potentially, any impact to the business, but also how we think about increased demand for alternate data as there is more focus on non-bank and under bank customer? Thanks. 
Mark Begor : Yes. I think there is a couple of net questioning. I think maybe the first one you are focused on is that some discussions around a public credit bureau. We don’t think there is a lot of traction on that. There never was and we don’t think that there is a real path to that. It doesn’t make sense. There is three large credit bureaus. There is another 30 CRAs underneath the three large credit bureaus. So I think there is plenty of competition in investments to support consumers. The second half of your question around real desire in Washington and with – we’ve heard the CFPB talk about it around access to credit for those that are challenged in getting to credit and really drive around alternative data. That’s clearly a big focus of ours.  You’ve heard us talk about it on this call and others around expanding our alternative data, using the Equifax cloud to combine our differentiated data assets and really open up credit using things like utility bills, payment records, cellphone payment records, income and employment data to expand access to the credit. It’s clearly a focus of ours and it is of our customers, the financial institutions and banks and that is aligned with the push that Washington has. 
Ashish Sabadra: That’s very helpful. Congrats again on the solid results. 
Operator: Thank you. The next question today is coming from Shlomo Rosenbaum from Stifel. Your line is now live. 
Shlomo Rosenbaum: Hi, good morning. Thank you for taking my questions. Maybe John, maybe you could help me out there is just a little bit of just sequentially on the Online Information Services, it was down about $4 million despite the fact that we are getting more opening up a little bit of Kount in there. Is the whole difference will be the impact of mortgage just the decline sequentially in mortgage applications and how that hit or is there anything else I should be thinking about there? 
John Gamble: No. I mean, as we talked about the fact that we saw very good organic and total growth obviously, which includes the acquisitions in our non-mortgage business. Actually, non-mortgage growth was a little bit stronger. And so, obviously because of the acquisitions in online and so what you are seeing obviously is the negative impact on mortgage – from the decline in mortgage and that would be the negative impact that you are seeing in OIS. So I don’t think there is anything more complicated in that. 
Shlomo Rosenbaum: Okay. Great. And then, just as a follow-up, I am not sure if there is a qualitative way to ask this, but maybe quantitatively, particularly in international and maybe some of the other locations very strong growth. But there has been generally a very good difference in terms of the reopening. And is there any way for you or how do you view this internally in terms of how much are you getting from Equifax really returning to being on offense with all the efforts you’ve made versus just, hey the markets are opening up. Is there some way for us to think about that? 
Mark Begor : Yes. It’s challenging. I would say, we are still cautious in the second half around some of those recoveries and even in the United States the delta concerns is that getting impact things is something obviously we watch. I think the thing that John and I keep an eye on is kind of deal pipelines. Where are winning in the marketplace. Where are we adding new customers. Where are we rolling out new products. Those are kind of the above market kind of growth that we are pleased with the momentum. We talked a bunch about the USIS and Workforce, but also what the teams are doing internationally on that front. 
John Gamble: And we are accelerating NPI. As Mark talked about in his comments, the new product rollouts really, as you know, we are doing as to bring new solutions to our customers, but we are also doing it to grow our top-line and new product rollouts generate revenue as they come into market in a very positive way. 
Shlomo Rosenbaum: Okay. Thank you. 
Operator: Thank you. Our next question today is coming from Caroline Conway from AllianceBernstein. Your line is now live. 
Caroline Conway: Great. Thanks for taking my questions. So, I wanted to ask about the spread of new product introductions between USIS and EWS at the stage and specifically when we might expect to see USIS revenue contribution from NPIs that are on par with EWS? And then, my second separate question is on capital allocation. I just noted that there is a few decisions that are being made based on the business outperformance to accelerate the tech transition. There seems to be a hint that share repurchases could exceed $100 million. So just wanted to get an update on the prioritization of different capital allocation choices as we see that excess strength?
Mark Begor : Sure. On your first question about NPIs, all our teams – all four business units are intently focused on NPIs. It’s a priority that’s really central to our EFX2023 strategy. So, I don’t think there is real difference of activity that the pipelines that John and I have a monthly review with the teams on – with the product teams around how they are working to leverage our new client capabilities to bring new solutions to market and they all have very robust pipelines and we are seeing revenues. I don’t think – we don’t disclose the vitality index by business unit. But it’s a broad based as far as everyone’s focus.  As far as capital allocation, we are clearly committed to completing the cloud. We are obviously spending the dollars there and we’ve been quite consistent. Those dollars are coming down as we go through and into 2022. But we are quite significant to last three years and we are starting to really pivot – leveraging the cloud and getting the benefits from the cloud, which are quite meaningful.  And there was no intended hints around changing our stock buyback. So, I don’t know you picked that up in the comments. But that wasn’t an intent. We are quite clear in launching a buyback earlier this year to offset solution from employee plans that that was a step forward, but nothing more than that.  The third leg on capital allocation that you didn’t mention is M&A and we try to be very clear that we see meaningful opportunities to enhance Equifax through M&A whether it’s in differentiated data solutions which Kount check that box, Identity and Fraud, if that’s growing space that we want to be bigger in and we think we’ve got to check at the play there because of our data.  Kount that check that one. Second is or third really is, strengthening our Workforce Solutions. It’s our fastest and strongest – fastest growing and strongest business and strengthening the core Workforce through HIREtech and i2Verify is key to our strategy and as we mentioned earlier, we are really focused on widening Workforce Solutions really in the Talent Solution space through data assets. Data that would be additive to our income and employment work history that we have in the database.  And then, I mentioned earlier differentiated data assets, we are always looking for unique data assets that we can combine to existing Equifax data assets. So, M&A is a priority of ours and as we mentioned earlier, we’ve done five transactions this year, Kount being quite significant. But we are on the lookout for acquisitions. What I would characterize as bolt-ons that I will really check those three areas of differentiated data, identity and fraud and strengthening and broadening Workforce Solutions. 
Caroline Conway: That makes sense and thank you for the clarification. 
Mark Begor : Sure.
Operator: Thanks. Our next question today is coming from Gary Bisbee from Bank of America Securities. Your line is now live. 
Gary Bisbee : Yes. Thanks. Thanks for the patience and staying this long. Just one quick clarification question if I could. Mark, you commented when talking about employer about the employee retention credits which I see in your Slide 23, I think it was you lumped in with the unemployment. And so, did I hear right that effectively those are credits that you are getting that you think will end at the end of this year? And is it right to think that that sort of pushes off a little bit when you’ll face the real severe declines from unemployment normalizing? Or is it – was there something else this quarter that allowed the combination of that in the unemployment claims to do exceptionally well relative to the brutally tough comp you had? Thank you. 
Mark Begor : Yes. It’s actually this quarter, but ERC was a little stronger than we thought obviously with the new credits. So difficult to forecast. And you see it was a little stronger than we thought, right? So, the unemployment claims filings were a little higher than we expected when we gave guidance initially. And you have to – as you move through the rest of this year, ERC does tend to offset a little bit via declining UC. But as we said, the ERC credits will be something that we’ll only see this year and it will be gone as we get into next year. 
Gary Bisbee : Alright. Thank you. 
Operator: Thank you. We’ve reached the end of our question and answer session. I would like to turn the floor back over to Dorian for any further or closing comments. 
Dorian Hare: Thank you for joining today. Mark, John and I look forward to engaging with you in individual meetings and in conferences and other forums throughout the summer. This conclude today’s call.  Operator Thank you. We’ve reached the end of our call. Thank you. You may disconnect and have a wonderful day. We thank you for your participation today.